Matt Bacso: Thanks, operator. Good afternoon and thank you for participating in today’s call. Joining me from PROCEPT BioRobotics are Reza Zadno, CEO and Kevin Waters, CFO. Earlier today, PROCEPT released financial results for the quarter ended March 31, 2022. A copy of the press release is available on the company’s website. Before we begin, I’d like to remind you that management will make statements during this call that include forward-looking statements within the meaning of federal securities laws, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that relate to expectations or predictions of future events, results or performance are forward-looking statements. All forward-looking statements, including without limitation, those related to our sales and operating trends and future financial performance, expense management expectations for hiring or growth, market opportunity, revenue guidance, commercial expansion, the impact of COVID-19 on our business and future product development and approvals are based upon our current estimates and various assumptions. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements. For a list and description of the risks and uncertainties associated with our business, please refer to the Risk Factors section of our most recent annual report on Form 10-K filed with the Securities and Exchange Commission on March 22, 2022, and available on EDGAR and in our other public reports filed periodically with the SEC. This conference call contains time-sensitive information and is accurate only as of the live broadcast on May 5, 2022. PROCEPT BioRobotics expressly disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. And with that, I will turn the call over to Reza.
Reza Zadno: Thanks, Matt. Good afternoon and thank you for joining us. For today’s call, I will provide opening comments and a business update, followed by Kevin, who will provide additional detail regarding our financial performance and updated 2022 guidance, before opening the call to Q&A. Starting with our quarterly revenue results, total revenue for the first quarter of 2022 was $14.2 million, representing growth of 97% compared to the first quarter of 2021 and 40% sequential growth compared to the fourth quarter of 2021. Regarding our U.S. performance, in the first quarter, we sold 22 AquaBeam systems. Total U.S. system revenue was $7.8 million, representing growth of 70% compared to the first quarter of 2021. Growth was primarily driven by strong underlying demand from high-volume BPH hospitals. The recently announced 5-year WATER Study Data continued to drive surgeon interest, resulting in robust peer-to-peer communication about the benefits of our AquaBeam Robotic System. Growth was also aided by the approximate doubling of our field-based commercial team entering 2022 as compared to 2021. Given the number of high-quality employees hired in the back half of 2021 and successful onboarding, we believe our strong commercial momentum will carry through for the remainder of 2022, especially as we ended March with what we believe is a robust pipeline of new targeted accounts. First quarter 2022 U.S. handpiece and consumable revenue was $4.4 million, representing growth of approximately 174% compared to the first quarter of 2021. As communicated on our fourth quarter earnings call, we did see minor procedure volume headwinds in January associated with the Omicron variant. However, as the quarter progressed, this impact was dramatically reduced, resulting in a negligible number of customers affected in February and March. As a result, our ability to exceed first quarter revenue guidance was relatively unaffected both on handpiece and system sales. In the absence of a new strain or some unforeseen situation, we remain optimistic that COVID-related disruptions to our business for the balance of 2022 will be insignificant. While we are still early in our commercial launch, we believe our robust clinical data, supported by our recently published 5-year data, outstanding real-world patient outcomes and rapid early adoption, indicate that hospitals, surgeons and patients see the benefits of our robotic system and our strategy is working. Before providing a business update, let me briefly address the current supply chain environment and its influence on our business. First, I want to highlight, we have not experienced material product constraints in our ability to meet customer demand. That said, the current supply chain environment has become incrementally more challenging, resulting in moderately increased lead times for certain components. Given the strategic decision to increase inventory levels, we do not expect supply chain issues to have an impact on our ability to meet our revenue plans. As we progress through the year, our main focus will be to ensure we can supply our customers with what we need in a way that is high quality and timely. Lastly, we do not currently have any supply chain components coming directly from either Russia or Ukraine. Now turning to quarterly business updates. We approximately doubled our field-based commercial team at the end of 2021 and implemented an effective training and onboarding program to put us in position to execute on our 2022 commercial growth plan. Even with a tight labor market, we continue to see strong interest from highly experienced medical device sales professionals, which gives us additional confidence in meeting our hiring and growth objectives in the back half of 2022. As I sit here in early May, I am proud to say that the reps hired in late 2021 have progressed nicely up their productivity curve and are now starting to hit their stride. The impact of our excellent clinical outcomes and rapid physician adoption, coupled with the increases to our commercial team, were evident in our first quarter performance. Additionally, we are seeing strong physician interest at new accounts, and we have a high degree of visibility to the 2022 capital pipeline, which allowed us to increase full year revenue guidance, which Kevin will touch on shortly. Next, I would like to comment on utilization and procedure trends we have seen in the last 12 months. As stated last quarter, we continue to believe the majority of Aquablation procedure volumes are converted to our cases, although we do believe we are also taking resective procedures from other modalities, like simple prostatectomy and laser procedures of the prostate. On hospital utilization, we are seeing quarterly sequential increases in utilization from our customers. We believe, based on our internal data, the increase in utilization is attributable to the following factors. First, given the predictability, reproducibility and extremely low learning curve associated with the AquaBeam Robotic System, we are seeing more surgeons using our system at our account. As a result, an increasing number of accounts are beginning to standardize their resective procedure protocol in favor of Aquablation therapy. Second, since legacy resective treatments for larger prostate have poor safety outcomes, Aquablation therapy fills that void immediately and becomes the obvious choice. Third, since clinical outcomes are independent of prostate size and shape, surgeons are using Aquablation therapy in a broader range of prostate sizes. Specifically, when analyzing patient data over the last 15 months, the largest number of patients treated with Aquablation generally fall within the 60 to 80-milliliter range. Turning to payer coverage policies and regulatory approvals, as we announced last week, Aetna published its updated policy, noting Aquablation therapy is now covered surgical alternative for BPH, expanding access to Aquablation therapy for the treatment of the roughly 21 million commercial members in the U.S. Aetna thoroughly issued an updated clinical literature, including the recently published 5-year outcome data, and concluded Aquablation therapy is a safe and effective treatment for men with BPH. This revised policy became effective as of April 26, 2022. In addition, we have continued momentum within the regional Blue Cross Blue Shield markets. As we announced on our last call, CareFirst, the Blue Cross Blue Shield payer of Virginia, Maryland and Washington, D.C., issued a positive coverage policy in the first quarter of 2022. Additionally, effective April 25, Independence Blue Cross Blue Shield also updated their BPH surgical treatment policy to remove Aquablation therapy from the list of procedures considered experimental and investigational and added Aquablation to the procedures considered medically necessary for the surgical treatment of BPH. Independence is based in Southeastern Pennsylvania, covering approximately 4 million covered lives and is one of the largest licensees of Blue Cross Blue Shield Association. As of today, we estimate total covered lives of Aquablation therapy to be approximately 175 million people, which we believe represents approximately 75% of men suffering from BPH. Given the strength of our clinical data, physician support and real-world patient outcomes in the last 18 months, we have obtained positive coverage policies from 5 of the 7 largest commercial payers and 100% Medicare coverage. As it relates to our business, there is a long-term benefit and a short-term benefit. The obvious long-term benefit is increased utilization, which will take time as we penetrate the surgical market. The more important short-term benefit is the increased value proposition of our technology and the lowering of barriers to sell capital equipment to targeted high-volume BPH hospitals. Turning to regulatory approvals, in the first quarter, we also received approval from the Korean Ministry of Food and Drug Safety for the AquaBeam Robotic System. And we shipped our first system to Korea in the first quarter and completed our first Aquablation procedures in April. In addition to Korea, we also received Shonin approval from the Japanese Ministry of Health, Labour and Welfare for the AquaBeam robot and expect to have full approval, which includes our third-party ultrasound system by the end of 2022. Both regulatory approvals marked major milestones for PROCEPT in Asia-Pacific region. In the coming years, we believe our procedure is well positioned to make a meaningful impact in these countries with large aging populations. In Japan, specifically, our initial plan will be to focus on establishing reimbursement to support widespread adoption. As a first step, we will install our system in select academic medical centers to build strong clinical support, similar to our initial U.S. strategy. Additionally, in Japan, we plan to enroll patients in a PMDA-mandated post-market clinical study to expand PROCEPT’s already robust clinical data on the efficacy of Aquablation therapy. While we are very excited about this milestone, it is important to point out that we do not expect to obtain reimbursement in the near future and thus do not expect to generate meaningful revenue in the coming years. Before I hand it to Kevin, I wanted to also remind everyone that PROCEPT will be hosting an in-person investor event on May 13 at 8:30 a.m. Central Time at the American Urological Association Conference in New Orleans. In addition to a short presentation by management, the event will feature three Aquablation therapy surgeons, who will speak about their experience and take questions from the investors. With that, I will turn the call over to Kevin.
Kevin Waters: Thanks, Reza. As Reza highlighted, our revenue for the first quarter of 2022 was $14.2 million, representing growth of 97% compared to the first quarter of 2021 and 40% sequential growth. The increase was primarily driven by U.S. revenues, including both system sales to new hospital customers and increased handpiece revenue. In the U.S., we sold 22 AquaBeam systems, most of which were to new customers. AquaBeam system average selling prices were slightly above $350,000, which is flat sequentially and in line with our expectations. Our ending first quarter U.S. installed base was 93 AquaBeam systems. Prior to obtaining Medicare coverage in January 2021, we did place numerous AquaBeam systems under evaluation agreements as compared to a direct sale. Of the 93 systems in our U.S. installed base, we still have three systems under these evaluation agreements, which is down from 10 as of December 31, 2021. This will be the last quarter we intend to specifically call out the demo systems as the three remaining systems in our installed base will either be sold or returned by the end of Q2. Turning to handpiece revenue, U.S. handpiece revenue was $4.4 million, representing growth of 174% compared to the first quarter of 2021. Handpiece revenue growth was driven primarily by increases in monthly utilization measured by handpieces sold per account and increased average selling prices. Specifically, average selling prices in the quarter were approximately $3,000 per handpiece, up from $2,500 in the first quarter of 2021 and $2,700 in the fourth quarter of 2021. We shipped approximately 1,400 handpieces in the U.S. in the first quarter. Accounts averaged approximately 5.5 handpieces purchased per month in the first quarter, which compares to approximately 5.3 in the fourth quarter of 2021 and 3 in the first quarter of 2021. Lastly, on total revenue, international revenue for the first quarter was $1.6 million, representing growth of 75% compared to the first quarter of 2021. Gross margin for the first quarter of 2022 was approximately 54%, an increase from 49% in the first quarter of 2021. Margins were above our expectations due to higher U.S. handpiece average selling prices and higher production volume as we spread the fixed portion of our manufacturing overhead costs over a larger number of units produced. Total operating expenses in the first quarter of 2022 were $23.4 million compared to $14.9 million in the same period of the prior year and $21.3 million in the fourth quarter of 2021. The increase was primarily driven by increased selling, marketing and general and administrative expenses to expand our sales organization and increased expenses associated with supporting a public company. Net loss was $17.2 million for the first quarter of 2022 compared to $12.8 million in the same period of the prior year. Adjusted EBITDA was a loss of $13.5 million compared to a loss of $9.8 million in the first quarter of 2021. Our cash and cash equivalents balance as of March 31 was $284.3 million while our long-term borrowings totaled $50 million. We believe the capital raised during the IPO and our strong balance sheet will provide the liquidity and capital resources needed to support and grow our current business. Moving to our financial guidance, given our strong first quarter and continued underlying momentum in the business, we are increasing our full year 2022 total revenue guidance to be in the range of $58 million to $62 million. As our installed base grows, we expect the absolute number of handpieces sold per quarter to increase sequentially throughout the year. While pleased with the first quarter improvement utilization, our updated revenue guidance assumes quarterly utilization trends to be slightly down sequentially as we progress through the year, although full year 2022 utilization rates are expected to be up modestly from 2021. As explained on our prior earnings call, we expect our installed base to increase meaningfully by year-end, which will decrease initial utilization rates as new accounts are added. Regarding handpiece average selling prices, we now expect pricing to be in the $3,000 range for the full year, which is in line with our first quarter actual. Turning to AquaBeam system sales, we expect very modest sequential increases to the number of systems sold throughout the year following a robust first quarter. And lastly, on revenues, we continue to expect international revenue to be approximately 12% to 13% of total revenues. Moving down the income statement, we now expect gross margins to be at the higher end of our previously issued range of 47% to 49% and operating expenses to be approximately $106 million, given higher revenue levels. Lastly, we continue to expect full year adjusted EBITDA to be in the range of negative $63 million to $60 million. At this point, I’d like to turn the call back to Reza for closing comments.
Reza Zadno: Thanks Kevin. In closing, I want to thank our employees, customers and shareholders for all their support. In 2022, we will continue to leverage our commercial and clinical investments to execute on our long-term strategy. Have a great day. And I look forward to meeting many of you at upcoming investor conferences and our AUA event in New Orleans on May 13th. At this point, we will take questions. Operator?
Operator:  And the first question comes from Craig Bijou from Bank of America. Your line is open. I take that back, our next question is Josh Jennings from Cowen.
Josh Jennings: Hi. Good evening and thanks for taking the questions. Congratulations on the strong start to the year. Reza and Kevin, wanted to just – and I think it’s clear that you guys have momentum in your business and the 5-year WATER study was published, I think in mid-quarter Q1. Just wanted to sanity check how big of a deal that is for your sales team? Are you feeling of having that publication of that paper in their hands and marketing it is driving increased interest from new centers? And then also on the commercial payer side, I mean was that what got it over the hump? And do you expect the same for United later this year?
Reza Zadno: Thanks Josh. This is Reza. Very good question. Yes, we believe the 5-year clinical data was one of the drivers for Aetna. They looked at that information very carefully. And that, we believe was the only information they needed to issue a positive coverage policy. As far as sales team is concerned, many physicians were satisfied with our 3-year data. But the 5-year data, if there were any questions on anybody’s mind, take that question away definitely, it helps with utilization with – on the commercial side.
Josh Jennings: Thank you. Just one follow-up. We have been getting some questions just around the kind of, I guess economics for the hospitals for an Aquablation treatment. And you guys have the transitional pass-through payment in place. Just want to make sure that, that – my understanding that, that goes away at the end of 2022 and make sure that is there a potential for that to be extended in the 2023, for one? And the second question is, even without the TPT in place, my understanding is that an Aquablation treatment is more profitable than, say, a laser or resective procedural end of term. I just wanted to see if you had any kind of hard data points for us to share just because it’s a frequent question we get from investors. Thanks for taking all the questions.
Reza Zadno: Yes. So yes, the payment for – hospital payment for our procedure is about $8,400. The transitional pass-through will go away at the end of 2022. And we assume it will go away starting 2023. There is a slim chance that it may get extended, because during COVID, many hospitals in 2020 could not benefit from that. But we are assuming that will go away. But even with $8,400, we believe that is – of course, different accounts have different cost structure. But compared to TURP, for example, which is about $4,400, this is – we believe that is adequate for the hospital to purchase the robot and use it.
Josh Jennings: Great. Thanks again.
Operator: And your next question comes from Craig Bijou from Bank of America. Your line is open.
Craig Bijou: Great. Good afternoon guys. Thanks for taking the questions and congrats on another strong quarter. I wanted to talk specifically about utilization, and appreciate your comments in the script, Reza, about adding new surgeons, but a couple on that. So, maybe if there is a little bit of color typically of a surgeon champion, and you obviously said you are adding surgeons, so maybe a little bit more of that dynamic. Is it going as quickly as you were expecting? And then also on utilization, when – I know you have said that it takes about four quarters to five quarters for a new system once it’s placed to kind of get ramped up to full utilization. And I was wondering if, at least in the first quarter, if you are seeing maybe a faster adoption.
Reza Zadno: Yes. Thanks Craig. As far as utilization is concerned, as I mentioned, we believe in these high-volume hospitals, our cases are converted TURP cases. And in high-volume hospitals, our first physician in that account are the physician who is the highest user in that account. But we see in some of our accounts, they are standardizing resective procedure because it is independent of the surgeon experience or prostate size, so they are standardizing the resective procedure in favor of Aquablation. And that’s why these other surgeons also come onboard and start using the product. But at the same time, as I mentioned, we are seeing physicians are using our procedure in an entire spectrum of the prostate sizes. And in fact, the 60 milliliter to 80 milliliter was the majority of the cases. If you look at the bell curve, the top of the bell curve in the 60 milliliter to 80 milliliter, which is roughly representative of what actual prostate size of patients are. So, they are using it in wider prostate sizes and in the same account, more physicians are using it.
Craig Bijou: And just on the utilization of the newer cases or the newer systems that are placed, is that going as expected?
Reza Zadno: Yes. So, it is going as expected. As in Kevin’s remarks, this is – since our installed base is still very limited, new accounts have a big impact on utilization per month. But we are very happy that the utilization that we saw, the handpieces per month per account were modestly up from last quarter. But again, because of the limited installed base, this is very sensitive to new accounts. Just in the first quarter, the accounts that came on, utilization was higher than expected slightly. But this is early. It takes three quarters to four quarters until they get to a steady state. But the first quarter, we were very happy with the handpieces per account per month.
Craig Bijou: Got it. And if I can ask on the international approvals, recognize that Japan will need reimbursement, so just a couple of questions there. For Japan, I know that reimbursement is not coming near-term. But how should we think about when that – or when you are targeting or when it could happen? And then can you give us a little bit of color on the Korean market and how big of an opportunity that could be for you?
Reza Zadno: Yes. So, as far as Japan is concerned, as we have approval for our robot and we are expecting the approval for the ultrasound piece of it in 2022. But as you know, we need to obtain reimbursement and conduct a PMDA study over there. And the reimbursement will come out after that. As we make progress in that protocol and giving more timing, hopefully in the next – in the near future, we can provide more color on that. But we are not assuming revenue from Japan in our near future.
Kevin Waters: Yes. Craig, it’s Kevin. I will take Korea. I would think of Korea this year is a very modest contribution, somewhere in the $1 million range for 2022. And when you look at that market, it’s a population of around 50 million people, about 15% the size of the U.S. And we would expect kind of the BPH market to follow along those lines. But what’s important about Korea, a few things. First, their willingness to adopt robotic technology is very prevalent. And there is a history there that we think is going to give us a nice opportunity. And also, that market is highly concentrated, lots of BPH procedures just within a few hospitals. So, we think we can get very minimal penetration, but have meaningful utilization in the Korean market and really use that as a springboard in Asia-Pacific to get key opinion leaders support in that region.
Craig Bijou: Great. Thanks for taking the questions guys.
Reza Zadno: Thank you.
Operator: And our next question comes from Amit Hazan from Goldman Sachs. Your line is open.
Amit Hazan: Thanks. Hey. Good afternoon. Wanted to start just to kind of get a sense from you on some of the supply chain comments you made, just to make sure we understand how you are thinking about the risk there. Obviously, we were hearing for so many companies that are talking about similar challenges and like you kind of getting through them. But you talked about the increased lead times. Just give us a sense in terms of your own kind of inventory build or which components there specifically or how many types of components are you experiencing these shortages in. And what do you feel like you have got visibility to the inventory you need to deliver the units you are planning for this year? Is that on pretty solid footing?
Reza Zadno: Yes. Amit, thanks for the question. Yes, definitely, this is an area that we had anticipated last year and we started increasing our inventory. And as you have seen with other companies, the supply chain is becoming – the environment more challenging. But we have increased not only inventory, but also personnel in our manufacturing and supply chain department so that they are on top of the need and the planning. One of the advantages of our organization, which is smaller, we have high visibility on this and we anticipate and because of the increase in inventory, and because of the increase in personnel, we believe we will meet our near-future demand.
Amit Hazan: Okay. And then just maybe get you guys to reflect on some of the comments other med tech companies, especially in robotics, have made so far in Q1 just to see how that on to what you all are seeing, understanding you are kind of earlier stage. But both in terms of CapEx spending at hospitals and then just hospital staffing overall, we have heard some of the robotics companies talk about maybe potentially a little bit more pressure on CapEx than they have seen in the past. And then with hospital staffing, some commented just on ability to install units inside of an operating room and that being a little bit more challenged. Could you just talk through what you are seeing kind of on the ground anecdotally or otherwise as you kind of think about the rest of the year for you or what you are hearing from your customers and potential customers as it relates to those topics?
Kevin Waters: Yes, Amit, this is Kevin. I will take the CapEx environment and your reference to installation. So, we aren’t seeing a constraint in CapEx spending at our customers. And I would point out that unlike other robotic systems, our average selling price is significantly less than other larger capital equipment companies. And as Reza mentioned, hospitals can see their way to a positive ROI fairly quickly, given the prevalence of BPH patients that they are seeing within their hospitals. And at the same time, if you look at our targeting right now, we are early in our adoption curve. And therefore, we are targeting high volume, very well-funded hospitals toward perhaps capital constraints would not be as prevalent to a smaller regional community hospital. So, we feel good about the capital environment. And lastly, we have added significantly to our sales team on the robotics side to help us drive growth. So, all of those factors give us a high degree of confidence in our capital number for the year, even in this current environment that we are hearing as well from other larger companies. And then you also mentioned just about installation and staffing. I would just remind you that our system is a complex robot, but the installation is very simple. There is not a complex installation. There is not a long lead time between orders to revenue that would require a lot of hospital staffing and administration from that standpoint. And then maybe I will turn it over to Reza just to talk about hospital staffing shortages and what we are seeing there compared to other companies as well.
Reza Zadno: Yes. So, we – in last quarter, definitely we are aware of the shortage of staffing in hospitals. But it did not affect us as we were able to meet our utilization. And that is, one, because our installed base again is limited. And also, we are present in all cases to provide any support that they need. So, we were not affected. Yes, we are aware of it but not to the point that it has any meaningful impact on our ability to hit our numbers.
Amit Hazan: Okay. Just one quick follow-up on utilization, I will get back in the queue. I thought that was a really good number, obviously just a utilization curve per robot, and especially considering the Omicron impact and pretty big increase in the installed base during the quarter. And so as I kind of think of your kind of commentary on utilization for the rest of the year kind of down sequentially, it feels conservative. It feels like, just given all those headwinds, you did pretty well and that might continue. Just give us a sense of how much conservatism you actually put into that number, or I get the new – the kind of introduction of new systems of greenfields that might weigh it down a little bit. But nonetheless, it seems like a very good number, given some of the headwinds you faced in the quarter and a pretty big increase in your installed base.
Kevin Waters: Yes, that’s a great question. We would agree with you. We were pleased with the uptick in utilization in the first quarter. And in fact, we were expecting initially a decrease sequentially from the fourth quarter. And I think we are seeing the two things Reza mentioned, performing above our expectations, which are more physicians performing procedures at a given account and then again, that same initial champion physician now treating a much broader range of prostates, which is leading to that increased utilization. And I would characterize our guidance as conservative. At the same time, we are very early in kind of our product adoption cycle. Utilization, as you know, is an extremely sensitive metric. It’s highly variable between accounts. And therefore, we just felt the guidance out there is definitely something we believe is conservative and achievable. And as we get more history with these accounts, we will be able to provide a much more precise metric around the installed base utilization.
Amit Hazan: Alright. Thanks very much folks.
Operator: And our next question comes from Danielle Antalffy from SVB Leerink. Your line is open.
Unidentified Analyst: Hey guys. This is Erin on for Danielle. Thanks so much for taking our question. Congrats on the nice quarter. Just a quick one for me on reimbursement, just given the recent positive coverage policy decisions, can you just talk to us about what this might mean going forward? Have – do you know if there is any patients on these plans that are kind of waiting to get Aquablation? Basically just asking, do you guys expect to see kind of a bolus of procedures once these policies go into effect?
Reza Zadno: Yes. Hi Danielle, this is Reza. Thanks for the question. So we believe that, yes, with Aetna coming onboard, it definitely incrementally helps utilization in the accounts where Aetna is their commercial carrier. What we believe this will help is also in robot placement in the near future. I think as more carriers come on, it is really in 2023 and beyond that those will become more impactful. We were able to hit our revenue numbers, in fact, without even Aetna. But we are – I mean every carrier adding will help utilization, but also will help the installed base.
Kevin Waters: Yes. I would just add to that, because the timing obviously was very near us releasing this Q1 report and our guidance raise on revenue was not dependent on receiving additional coverage. However, I would characterize it, just like Reza said, that it gives us a lot more confidence in our ability to achieve those numbers. And it’s just – it’s one more feather in the salesperson’s cap when they go into a hospital to sell a piece of capital. It’s one less barrier to entry, one less question they have to answer that again just gives us a greater degree of confidence in our guidance range as opposed to it being incremental, if that makes sense.
Unidentified Analyst: Yes. Great. Thanks so much. And then just one quick one on rep productivity. Just given kind of the recent hires, I know you doubled the sales force pretty recently and you are planning to hire more. Just wanted to kind of see, how so far is rep productivity trending, how you would have anticipated? And then how should we think about the ramp in productivity from new reps going forward?
Kevin Waters: Yes. We are very pleased with the folks we brought onboard. And that is primarily the reason we exceeded the Q1 guidance on the capital front was the productivity of the new reps perhaps ramping a bit sooner than we had expected. And if you look at the high end of our guidance, our installed base would increase over 100% at the end of 2022 compared to 2021. And yes, we have improved coverage. But the primary driver there is the productivity of our new reps and those folks coming onboard. I think Reza and I have both been pleased with the quality, the experience and just the drive that every new person that has come into this organization that we have hired. It’s an impressive list of people. And Q1 has been a great start for most of those folks.
Unidentified Analyst: Okay. Great. Thanks so much.
Reza Zadno: Thank you.
Kevin Waters: Thank you.
Operator:  And we have no further questions, so I will turn the call back over for final remarks.
Reza Zadno: Thanks again for attending and listening to our Q1 earnings call. We are – we look forward to seeing you in our investor event at New Orleans live for the first time since COVID. And we hope to see you soon. Thank you very much.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.